Presentation:
Louise Tjeder: Warm welcome to Sandvik's Presentation of the Third Quarter Results 2022. My name is Louise Tjeder, Head of Investor Relations. And beside me, I have our presenters today, CEO, Stefan Widing; and CFO, Cecilia Felton. And yes, we will start with the presentation. Stefan and Cecilia will take you through the quarterly highlights. And after that, as usual, we will open up for your questions. And you can ask your questions either in written or on the conference call. And with this, it's time to hand over to you, Stefan.
Stefan Widing : Thanks, Louise. And also, I would like to welcome you to this third quarter report 2022 for Sandvik. Q3 was a quarter with a very solid business performance and also strong strategy execution for the group. We do see strong broad-based demand, essentially across all the geographies and industry segments. I believe the organization has handled the supply chain and pricing in a good way. And we also see good progress on our shift to strategy execution with some very good steps in the quarter. Looking at orders at fixed exchange rates. [Technical Difficulty] Revenues, fixed exchange rate is up 22%, very strong delivery in the quarter, and organic 13%. If we exclude our Russian business, we grew organically by 14% on orders and 17% on revenues. So it shows a strong underlying market. We also see good progress on earnings. Adjusted EBITDA increased by 27%, corresponding to a margin of 20.1%. And we are, of course, pleased that we again are back within our margin corridor of 20% to 22%. We did have some items affecting comparability, primarily related to our Russia wind-down in the quarter, but we are also pleased to see that we are now more or less fully done with that. We have the -- written off the assets, and we have taken the provisions we need to complete the exit of Russia. We also took, as I said, several important steps in our shift to growth strategy in the quarter. We secured the industry's largest order ever for battery electric mining equipment. We also secured some good automation and equipment orders for surface mining, which is a strategic priority for us. We continue to expand our round tools offering and completed four new acquisitions within round tools in the quarter. And of course, not to forget, we completed the distribution of SMT as Alleima in this quarter. I always also highlight an innovation in -- during this call. A couple of weeks ago, we had a big customer event with over 400 customers present. We then showcased our new fully electric autonomous concept rig for underground drilling. Instead of me talking about it, we have decided to show you a short clip of this new concept. So let's look at that video. [Commercials] All right. So that was [Amelia] (ph). I have never seen such excitement among our customer base. These are not computer-generated images. Amelia is running in our test mine in Tampere and we have showcased it already to over 400 customers in operation. The product itself is not for sale, but the technologies we showcase here are gradually being moved into our products that we have on the market. Now shifting to market development. As we mentioned, we see very strong demand across the board, more or less. Our key market in Europe, North America and Asia are all up in the double digits. If we look at SMM in particular, Europe and North America are up in the, I’d say, mid-teens. Asia is up 8% and China is up 5% in this quarter. Looking at the various segments that we have. We have labeled mining flat, even though we see good growth, and you see several of the arrows are also up. This is to reflect that we see strong demand in aftermarket, but we see a little bit of flattening on the equipment side. So we think it's prudent to signal that we think the market is flattening out in terms of new equipment going forward. Engineering, very strong, solid double-digit growth in the quarter. Automotive also strong double-digit growth in the quarter. Energy, very strong, high double-digit growth in the quarter, of course, comparing against the depressed quarter coming out of COVID a year ago. Infrastructure a bit more flattish, where we actually see a decline now in Europe in particularly, driven by higher energy prices that have had an impact on infrastructure investments in the quarter. Aerospace also very strong high single-digit growth in the quarter. So overall, very solid demand across the board. If we then look at order intake and revenues. The order intake was SEK29.2 billion. We should note that this includes SEK400 million of canceled orders in Russia, meaning, the underlying order intake was actually SEK400 million higher, and we have now cleaned the order book from Russian orders. So this -- you will not see this impact anymore going forward. Revenues, SEK29.2 billion as well, very high revenue number, I have to say, solid delivery performance from all our businesses. Also good to see that the book-to-bill ratio is actually coming down to around 100 because we have built a lot of order backlog. And I think right now, we would like to reduce it a bit short-term delivery times and service our customer quite simply. If we look at this, again, with a slightly different lens, we see the organic and structural growth coming from structure here. We can see that the growth numbers are coming down a bit, but they are still in a solid double-digit territory. We can also see the good uptick in organic order growth in this quarter. And if we look at the orange rolling 12 months order and revenue graph, looking backwards towards the historic peak we have, we clearly are doing something right with our shift to growth strategy as well. Coming to profit and adjusted EBITDA number that came in at SEK5.9 billion. You can see on the bar there, it's a number we are proud of. Historically, very high level, up 27% versus prior year and a margin of 20.1%. The leverage though, is weak, and that is something we are working on as we go forward. We see positive development from higher volumes on the currency, of course. We have some dilution from structure and some adjustments that we'll talk about later. But the main headwind is the diluting impact from cost inflation, not yet fully mitigated by pricing. We should say that we are very close to mitigating on absolute levels, the cost inflation. So we are protecting the profit, but since we don't have a margin on that additional revenue, we get the margin dilution. But that's something we're also working on going forward, and we'll comment more on that shortly. Going into the business areas. So starting down with Mining and Rock Solutions, again, very strong aftermarket demand, up 20% in the quarter. Good positive momentum across the board really. More equipment out there, customers are very active, and then we should also say that we had a little bit weaker compare on the aftermarket side because of logistics issues a year ago. We also see good momentum on the surface. We've got some really good surface orders in the quarter. Actually, at levels that some other companies would classify as major orders, but we have a SEK200 million threshold for major orders, so we have not communicated them externally. But these orders include our first mixed fleet surface order with full automation. And we also saw a record high order intake level in Rotary [indiscernible] drilling, which is a focus area for us on the surface. At fixed exchange rate, the growth was 13%, and of that organic growth was 10%. We also saw the industry's largest ever order for battery electric equipment at SEK350 million for foreign mining in Canada. This is about -- this is 20 pieces of BEV equipment. And the order figure does not include aftermarket or battery as a service, which is also part of this deal. If you also look at the bars up to the right, we also see very good revenues. It was actually SEK15 billion of sales. And although I haven't gone all the way back into history, I would be surprised if this is not by far the best quarter ever from a revenue point of view for the Mining and Rock business. Looking at the margin, it came in at 20.3%. Of course, same dynamics, as already mentioned. SMR is offsetting cost inflation in absolute term, but still then have a dilution from a margin point of view. Also here versus prior year, we continue to see a higher share of air freight, even though it is sequentially improving. So we go back more and more into both. We also had some year-to-date cost catch-ups. In total, these two impacted the margin by about 90 basis points. We have also done a EUR 10 million investment into Turku for a new -- or for the first BEV manufacturing line in Turku for load and haul. And this is simply because we are otherwise unable to meet the growing demand that we see for BEV equipment. Rock Processing. Order intake is on solid levels, even though I mentioned that we start to see a little bit of slowdown here in infrastructure in Europe. We see a very positive momentum in aftermarket, but equipment is a bit weaker. If we exclude Russia and a larger order they received last year, the organic order intake was down 2%. And here the aftermarket is positive, while equipment is weaker. Still protecting their margins at 16.1%, same dynamics as before, they are negatively impacted by cost inflation. But we start to see now their new priced items coming through in the backlog, so we definitely expect this to improve going forward now into Q4. Here, we also see new innovation on the aftermarket side with new products that have longer lead time -- longer lifetime and reduce Co2 emissions, which is part of the strategy to grow the aftermarket business in SRP. And then Manufacturing and Machining Solutions. Strong demand, as we have mentioned, really across all regions and segments. Excluding Russia, it's double digits across the board. Energy, as I mentioned, absolutely the strongest part, followed by aerospace, but also automotive and general engineering saw double-digit organic growth. At fixed exchange rate, the growth was 25% and of that, 9% was organic and then outside of Russia, up 13%. Also here, if we look at the revenue, it is actually the highest revenue quarter ever, first time above SEK12 billion in a single quarter for SMM. If you look how this quarter has started, we see a stable development in the first two weeks of October compared to what we saw in the third quarter. Margin, 21.6%. Also here, same dynamics. We also here see pricing coming through, so we expect this to improve in a good way coming into Q4 now. We had some revaluation of balance sheet items related to currency that diluted the margins by 110 basis points. And then, of course, we also have dilution from structure, as you can see in the bridge. Continue to execute on our shift to growth with five cutting tool acquisitions in the quarter, of which four then related to round tools, and two of these were also announced during the quarter, so signed and closed within the quarter. Then we usually end with SMT. But of course, we will not do that reporting. I think [John] (ph) has already done that, but we would like to congratulate Alleima their first quarterly report here earlier today. And with that, I hand over to you, Cecilia.
Cecilia Felton : Thank you, Stefan. So let's take a look at the numbers in a bit more detail together. And starting at the top right-hand corner. As Stefan mentioned, we had good growth both for orders and revenues. Organic order intake was up 8%, 13% for revenues. Structured contributed with 7% and currency with 12%. So all in all, that gives a total growth for orders of 28% and 35% for revenue. Earnings were up 27%, as Stefan mentioned, to SEK5.9 billion, EBITDA margin back into our target corridor at 20.1%. Net financial items increased year-over-year to SEK183 million, and that's driven by higher debt volumes. Tax rate, excluding items affecting comparability came in relatively high at 26.7%. And I'll come back to the reason for that in a few minutes. Net working capital at 27.9%, impacted by the higher inventory levels. Free operating cash flow, SEK3.6 billion, returns at 16%, and adjusted EPS grew and increase to SEK3.12. So if we continue with the bridge and start with the organic column, you can see that revenues increased by SEK2.8 billion. However, leverage was 0% for the reasons that Stefan just mentioned, and that gives a dilution of 2.4 percentage points. Currency had a positive impact, both on top line and EBITDA, and that resulted in an accretion of 1.8 percentage points. Structure contributed with SEK1.6 billion of revenue, but brought a dilutive effect of 0.5 percentage points. And all in all, then that brings us from an EBITDA margin of 21.3% last year to 20.1% this year. If we continue then with net financials and starting with the interest net, as I mentioned, this increased year-over-year, and this is driven by the higher borrowed volumes. If we look at the interest rate, that's actually gone down if you compare year-over-year. However, sequentially, rates are -- interest rates are coming up. Then on the last row of this table, you see FX and other asset classes, plus SEK112 million. And that's driven by the temporary revaluation effects on our electricity and currency hedges. The reported tax rate came in high at 29.6%. If we exclude items affecting comparability, and that's mainly related to the charges for the wind down in Russia, the tax rate was still high at 26.7%. And the reason for that is that, we have had a positive effect from a currency hedge on an acquisition. And that gain is taken straight into the balance sheet as a reduction of the purchase price. However, the tax effect on that gain, of course, shows up in the P&L. So excluding that effect, the normalized tax rate was in line with guidance at 23.9%. Net working capital in relative terms came in at 27.9% and you can also see here in the bars in the table that absolute net working capital continued to increase. And that's partly driven by the good growth momentum that we have, and we are ramping up inventory to prepare for future deliveries. But in addition, we still have some logistics and supply chain challenges impacting our net working capital levels. We also had quite a sizable currency effect on net working capital and then a smaller impact from structure. Looking ahead, we do expect sequential improvement in net working capital, both driven by normal seasonality. We typically see that in the fourth quarter, but also driven by our own performance. If we continue with cash flow then, free operating cash flow came in at SEK3.6 billion compared to SEK3.8 billion last year. And you can see here in the table that earnings were up compared to last year, but we had a larger net working capital buildup and also the investment level was higher than last year. And in the graph, if you look at the orange trend line, you can see that the 12-month rolling cash conversion is still around 50%. Financial net debt increased to SEK35.6 billion, and that was driven by both payment of the acquisitions that we made in the quarter. And also SMT or Alleima got cash part with them as part of the spin-off. And then we had a currency effect on interest-bearing liabilities. There were no major changes in capital life leases or the pension liability. So net debt came in at SEK41.9 billion. And our external target financial net debt over rolling 12 months EBITDA came in at SEK1.3 billion. If we look then at outcome versus guidance, you can see here that currency came in line with guidance at around SEK1 billion, CapEx was SEK1.1 billion, interest net SEK0.2 million, and the tax rate, as I mentioned, on a normalized basis in line with guidance at 23.9%. Looking ahead then, we've kept the CapEx guidance for the year unchanged at SEK4 billion. We still expect positive currency effect amounting to SEK1.4 billion in the fourth quarter. And the interest net, we have changed the guidance slightly here. So now we say it's approximately SEK0.7 billion for the year, and the tax rate guidance were left unchanged. And with that, I will hand back over to Stefan for summary and conclusions.
Stefan Widing : Thank you, Celia. So if we look at the quarter, we are happy with the outcome. We are optimistic going forward despite that there are uncertainties ahead of us. We have important industry segments where inherent and solid growth fundamentals. We also have several of our segments that are still in the recovery phase coming out of COVID, which we believe will provide support for us also going into next year. We're making really good progress on pricing to mitigate inflationary pressure. We said in Q2 that Q2 would be the toughest quarter for us, and that it would then sequentially improve, and that's what we see also in Q3 now. We also see, for example, orders being taken at a better price than deliveries. So gradually, as we flush out the backlog this will continue to improve sequentially and we believe we will see continued good progress in the next quarter. We also see the supply chain continuing to ease a little bit, and we expect that to continue going forward, which should facilitate us releasing also some of this working capital we currently have tied up in inventory. We see a very solid strategy execution, several new round tools acquisitions, which have also enhanced our position in lightweight materials for EV production. We see really good traction on our battery electric mining equipment, as well as our strategic focus area of surface and automation on the surface. And we have completed the strategic distribution of Sandvik Materials Technology as Alleima, something that has taken a lot of energy and focus in the organization for quite some time. We have said this before and we continue to say it, we believe Sandvik today is a much more resilient company than we have seen in the past. We have had a strategic focus to increase the aftermarket share in the business, and we can see that it is now much higher than in the past, and we have also added to that a number of more resilient software businesses. We have continued to optimize our footprint. We have moved fixed costs to more variable costs, and we are ready with contingency plans if things would turn for the worse. Also the centralized setup will continue to allow us to be fast and adjust to any changes in the market conditions. But so far, the demand has been strong. Thank you very much. Let's go into Q&A.
Louise Tjeder : Thank you, Stefan and Cecilia. Yes, it's time for the Q&A session, and we can take the first question, please.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Daniela Costa from Goldman Sachs. Please go ahead.
Daniela Costa : Hi. Good morning. Thanks for taking my question. I have actually three quick things. First, wanted to clarify, it’s very clear your messaging regarding compensation of the pricing. But can you help us with how much of the growth -- the organic sales growth figures are pricing versus volume that would be helpful? Second thing, regarding Q4 and thinking about the cash flow, obviously -- in terms of free cash flow, you made a steady recovery in Q3. You are talking about sort of like reducing -- the shortening the delivery times. How should we think about like working capital release in Q4 versus what is normally seasonal at this part of the year? And then the final question relates to just your M&A strategy. I mean, I guess, sort of like if you could comment on multiples in the areas that you are looking into might have come down at least public multiples have come down. Should we expect a step up on M&A over the coming quarters? Or how should we think about that in current -- in light of current market environment? Thank you very much.
Stefan Widing : Yeah. Thank you. I'll take one and three. So on pricing, I mean, I will not comment on specific pricing numbers, because it's a dynamic out there that it’s important to not disclose too much when it comes to those kind of discussions with customers as well. But what we can say is that, over the organic growth you see a solid majority of that growth is volume versus price. So it's more volume than price. On the M&A piece, we have seen the multiples coming down a bit in some of the recent acquisitions we have done, we have -- even in some cases gone back in the process and renegotiated the price because of the general market multiples coming down. At the same time, we should say that there is also a lot of money sitting on the sideline. So still it is the case that for a quality asset, you still have to be prepared to pay a fair price. Our approach going forward is that, we will continue to have an active acquisition agenda. It's not that we are materially changing it because of the macroeconomic environment. But as you have seen also, we have started to use more of our headroom in the balance sheet already. So going forward, it's more about using the cash flow we generate ourselves. That's sort of the main approach. Then we have some more rooms if something really strategic would come up, but the main approach is to use our own generated cash flow. Do you want to take --
Cecilia Felton : Yes, sure. So in terms of the cash flow then for the fourth quarter, as I mentioned, several components to this. The first one is the normal seasonal effect and that typically generates a strong cash conversion rate in the fourth quarter. We're still expecting that in terms of the normal seasonal pattern now in the fourth quarter. On top of that, we have some of our divisions where we see the inventories levels are a bit on the high side in the third quarter that we expect to correct or to take down in the fourth quarter. And then the third part, which is, of course, a bit more difficult to predict is the easing of the supply chain and logistics challenges that we currently have. We've seen some early indication of that easing up, but that's the harder part to predict the exact impact in the fourth quarter. But what we can see is that, we expect a strong cash conversion in the fourth quarter, but we expect cash conversion for the full year to be below 100%.
Daniela Costa : That’s all. Very clear. Thank you.
Operator: The next question comes from Magnus Kruber from UBS. Please go ahead.
Magnus Kruber : Hi, Stefan, Cecilia, Louise. Magnus here from UBS. A couple of questions from me, and I wanted to get back to the pricing question. On the current pricing level that you're taking orders on now, would that fully offset the headwinds that we saw in the quarter, shall we say? Or when do you expect sort of the prices you charge will be sort of fully be able to take us back to that prior levels?
Stefan Widing : I would say, at the group level, we are now more or less taking orders at the level we need to compensate going forward. But then it's, of course, a matter that we need to see those orders flowing through in our backlog. But more or less, yes, then, of course, this is a dynamic or it's a fluid situation. So we, of course, have to continue to monitor it and see how inflation continues to grow and what further actions we need to take. But I'm -- let's say, I'm quite -- I'm happy and quite comfortable with the actions we now have taken. I think as an organization, we are a bit self-critical, maybe we should have done a few things even earlier. It's easy to be, let's say, wise after the fact. But where we are now, I think we have done a lot of good things, and it will show going forward, I think.
Magnus Kruber : Got it. So that means that Q4 will see a decent step up on SMS in particular?
Stefan Widing : I think at group level, somewhere between latter half of Q4 or going into Q1, I think we should be more or less offsetting cost inflation.
Magnus Kruber : Excellent. That's very good news. Thanks for that. And going on to SMR, I mean, sustained a very, very solid aftermarket growth during the quarter despite a comment from in Q2, but will slow down there. Could you sort of break down a little bit the moving parts within that solid momentum to help us understand what to think about going forward here?
Stefan Widing : For SMM, you said, right?
Magnus Kruber : Yes exactly -- no, sorry, SMR.
Stefan Widing : SMR. I just wanted to clarify. No. I mean what can we say? I mean aftermarket continues to be very, very solid, as you can see with the 20% growth rate. It's not for this quarter only. I mean we have seen good growth in aftermarket for quite some time now. And when I -- because I'm also sometimes wondering what is driving this. So I’ve been meeting quite a lot of customers now in Q3 traveling quite a bit out in the regions. And there are a number of drivers. One is, of course, that customers are sort of producing at the maximum, which drives aftermarket. Longer lead times for new equipment will also be aftermarket. It means that you maybe do a rebuild or you service older equipment for longer. We have more equipment out there. The growth rates we have had or the additional equipment we have been delivering, of course, also drives more aftermarket. There is a small element of customers also because of supply chains, they want to make sure they have sufficient critical components at their sites. It's not a major reason for this, but there is some of that as well. And then you have some price in that, of course, as well. On the equipment side, as we said, maybe it's flattening out a bit there, but it is replacements, extensions and some good greenfields as well. On the load and haul, we clearly see battery electric driving growth rates.
Magnus Kruber : That's super clear. Could you help us sort of quantify a little bit the three drivers. I mean, customers producing versus longer lead test for new equipment and rebuild and so on and your own increased installed base?
Stefan Widing : I wish I could. But I'm sorry, I cannot help you more there. It's very difficult to understand what is what. I'm sure we could make some kind of guestimates, but I don't have those numbers to share for now.
Magnus Kruber : For sure. Thank you so much. I’ll get back in the queue.
Operator: The next question comes from Klas Bergelind from Citi. Please go ahead.
Klas Bergelind : Thank you. Hi, Stefan and Cecilia. Klas from Citi. So first on the growth across the verticals, Stefan, if you could help us with auto, aero, energy, general engineering and machining solutions, you say highest growth in Aero and Energy, autos and general engineering at double digit. But it would be really helpful if you could help us a little bit with the actual levels. I'll start here. Thank you.
Stefan Widing : Yes, sure. I'll put a little bit more color on that. I mean energy, as we said, outstanding. I mean we're talking 30%, 40% in that range. Then we -- as you remember, we said after the Russian invasion, we saw immediately an uptick in energy in March of last year. So we are still facing sort of depressed COVID levels in energy. But as I said, we expect this to be a positive now if we have a more slowdown in the economy that we're going to face easier comps here. Aerospace, I said high double digits, it's more in the 20% range, continued to follow the sort of recovery in the industry. We are now at, let's say, 80% of pre-COVID levels. So still more to get in aerospace, I would say as well. General engineering, very solid mid-teens type of growth. Here is, of course, where we should probably be a bit more cautious going forward, if we look at purchase manager indexes or industrial production indexes, that tends to correlate quite well with General Engineering going forward. So here, we are cautious, but we know many of our customers still have themselves strong backlogs to deliver from. So this is solid demand as of yet. And then auto, double digits, more around the low double digits. Seeing some ease of component shortages, higher production rates still at low levels, so I think going into next year we still expect auto to be a support for us more on the upside than on the downside.
Klas Bergelind : Helpful. Autos low double digit is undershooting total production up then. Is there any sort of underperforming because of the shift to battery? Or shall we read -- am I reading too much into this Stefan?
Stefan Widing : Yes. I think I've said this a number of quarters actually that we expect when things ramp up again that we will probably undershoot at least for a while because we were overshooting about a year ago and then the subsequent quarters. And our read of this has been that we have seen Tier 2, Tier 3 suppliers continuing to produce components, even though the OEMs could not assemble all the cars. So that's the dynamic we see at least.
Klas Bergelind : Yes. My second one is on the margin into the fourth quarter in SMM. October is stable versus the average of the third quarter in terms of demand and you want to reduce inventories. I mean price cost will obviously be a positive as pricing has been improving, as you say. But trying to understand the destocking effect here, Cecilia, to what extent will you under produced demand in Machining Solutions into the fourth quarter? Thank you.
Cecilia Felton : I would say that the destock effect is relatively limited for SMM in the fourth quarter.
Stefan Widing : It's primarily SMR that you will see. There is some in SMM, but it will not have a material effect.
Klas Bergelind : Very quick final one on construction or in-train SRP. Is it only in Europe, you see this weakness? Or have you seen any weakness elsewhere interest rates are going up globally. And also, Stefan, if you have those numbers, how much did mining versus infra developed in the quarter, if you have it? Thank you.
Stefan Widing : In terms of Europe, that's where we see the headwinds in infrastructure. And my understanding is that, it has less -- it maybe has something to do with inflation, but it's more the energy prices and I've seen customers -- or we've seen customers here in the Nordics, for example, the fuel costs go up tremendously. And basically, they have to requote projects. So you have sort of a hiccup than before the projects continue, and that has then an impact. I didn't quite get your last question on the split there. What were you asking for?
Klas Bergelind : Yes. No, if you could help us with how much mining relative to infrastructure, how that develop order intake? I know there are many moving parts, large orders, Russia and so forth. But -- yes, if you could try and split out mining relative to construction, if that's possible for SRP order intake?
Stefan Widing : I think we will have to come back on that. Louise.
Klas Bergelind: Yeah, all right. Thank you.
Stefan Widing: Thanks.
Operator: The next question comes from Andrew Wilson from JPMorgan. Please go ahead.
Andrew Wilson : Hi, good afternoon. Thanks for taking my question. I wanted to ask in terms of the comments on the first couple of weeks of October and the stable commentary. I guess, you talked about the daily order intake. And I'm interested, I guess, on two different things. Firstly, how that daily order intake developed through the Q3. Appreciating that you have to adjust a little bit for the seasonally weak couple of months at the start of the quarter. But also in terms of what the -- what that comment on the first two weeks actually implies on the year-on-year, because I'm conscious that Q3 is usually overall a seasonally weak quarter. And therefore, maybe it helps to calibrate a little bit year-on-year. I hope that makes sense.
Stefan Widing : Yes. And personally, I don't like these first two weeks things we're giving you, because it's only two weeks and sometimes it's not even 10 working days. And I think we are reading a lot into these numbers that can change the week after. But what we're trying to say, first, you can -- it has nothing to do with price impacts and so on. It's a volume comment, so to say. And we look at daily simply to take away working day impact and so on. So what we mean by this is that, it's stable versus the average daily volume in Q3. Then you're right, I mean, Q3 is not normally a representative quarter if there is such a thing because of holiday effects. But as you can see, I mean, the revenues this time in Q3 was very high. So I think it was an unusually high quarter three in that sense. And how it progressed throughout the quarter, if we take away some noise from -- every time we do a price adjustment, we might see some -- the week before you might see some distributor, in particular, trying to place an extra weeks of order and so on. That comes a spike or so on throughout the quarter. I think the underlying demand in the quarter were quite stable. I don't know if you have anything to add to that.
Cecilia Felton : No, okay. It’s fine.
Stefan Widing : So I appreciate. It's not so easy for you to make a calculation based on that, but I don't think the numbers are that accurate that you can either. I'm just trying to give you a flavor for that. It's not that we came into October 1 and then things changed dramatically.
Andrew Wilson : Okay. So the -- I'm sort of calibrating, I guess, a run rate which is something like sort of flat to slightly down year-on-year. Is that right? I appreciate, obviously, FX doesn't help with this. But just trying to get a sense because, obviously, this is, I guess, what we're all trying to work out and appreciate that two weeks is a very limited time line to try and give a definitive answer on.
Stefan Widing : I don't have a year-over-year comment to give for Q4 because then I would essentially give you a forecast. I think the takeaway is that, you see Q3 strong demand. It's solid, and it has continued into the first two weeks of October. That's what you should read into it.
Andrew Wilson : Thank you. Maybe if I can just squeeze -- to sort of lever the point on pricing. I know we've asked a number of questions, but it's more a kind of question heading into next year actually is with, obviously, some of the price increases being at least to some degree helped by some of the inflationary pressures. I'm just interested as some of those pressures maybe ease off next year, whether there's any concern that some of those pricing gains start to reverse? Or whether you're confident that you'll hold those gains as we go through potentially a slightly slower backdrop?
Stefan Widing : Yes, it depends on what type of price increases it is. I mean we mainly work with -- I mean, we work with value-based pricing. That's our strategy. We think that's the most beneficial long term. And it means that we are not -- in general, we're not tying our pricing to specific indices, if you will, normally. So in that case, we do not see that kind of risk. But there are businesses where, for example, you might have a very high degree of steel in rock tools, for example, just as an example. We saw in some part of mining equipment, we added a steel surcharge when European steel prices exploded in March. And those you tied to an indices, so those you have to give back, but that's simply because it allows you to react quicker. And, yes, share the pain, but also the gain with customers. So I'm not worried about those things. They are designed to make sure we -- our margin is protected, but it also means we have to reduce it if steel prices come down. But by far, the biggest part of our pricing is not based on specifics, it's based on the value we provide to our customers, and that will stick also next year.
Klas Bergelind: Thank you, Stefan. That’s appreciated.
Stefan Widing: Thanks.
Operator: The next question comes from Mattias Holmberg from DNB. Please go ahead.
Mattias Holmberg : Thank you. Two quick ones from me. Stefan, to follow up on your commentary that you said, a solid majority of growth is volume rather than price. My first question is, if this is also true for SMM or if this is only a comment on the group level? And the second question is, if you could, in any way, quantify what share of your equipment orders or battery electric right now and preferably if you have a comparison from last year for that as well? Thank you.
Stefan Widing : The comment is valid for SMM as well on the price and price volume mix, so to say. On battery electric, on the load and haul which is really what we're primarily talking about when we talk about battery electric. The order intake is in the teens as a share of total order intake, which is -- I don't have exactly the figure from last year, maybe it was 2%, 3% last year. So it's a significant uptick on the order intake for BEV.
Mattias Holmberg : That’s clear. Thank you.
Operator: The next question comes from Gael de-Bray from Deutsche Bank. Please go ahead.
Gael de-Bray : Thanks very much. Good afternoon, everybody. My first question is on Machining Solutions. I mean within that business, can you give us some color on where activity levels currently stand against pre-COVID levels? So in volume terms, obviously, trying to get a view on this for the energy market, the automotive market, traditional engineering. Now you said for aerospace, you already mentioned that it was about 80% below pre-COVID. So that's question number one. Question number two is, maybe a broader question on the fact you mentioned some easing in supply chain challenges, but at the same time, inventories continued to increase this quarter, which looks a little bit somewhat contradictory. So could you elaborate a little bit more on this, please? And perhaps give us an idea on by how much inventories actually needs to be corrected in SMR to go back to normal levels? And maybe a quick one for Cecilia. In the cash flow statement, what's within the order adjustments for noncash items, I think that's a negative SEK1.2 billion numbers this quarter, maybe SEK2.2 billion in total over the last nine months. So these are relatively big numbers. Thanks very much.
Stefan Widing : So on the various segments versus pre-COVID. Yes, as I said, rough -- aerospace, roughly 80%. Energy, in the quarter after significant growth, it's a bit closer to that, I think around the 90% level versus pre-COVID. General engineering is above pre-COVID. Automotive, I have to pass. I don't have that number. It's below. I don't know the exact number.
Cecilia Felton : Bit on par.
Stefan Widing : A bit on par, okay. Then we should, however, realize that automotive was slow in 2020 or the second half -- sorry, 2019. So I would still say it's a fairly -- it's a quite low number compared to longer-term historical figures. Then do you want to start on inventory.
Cecilia Felton : Yes. So I think it comes back to these different dynamics that we have strong growth, I mean, both on orders and revenues. And therefore, part of supporting that growth is also investing in inventory and prepare for future deliveries and that sort of offsets part of the supply chain easing that we mentioned. But I also think that looking at the impact from logistics and supply chain, I think supply chain, there is a smaller part, and logistics it's a bigger component there, but it's the growth sort of offsetting those parameters.
Stefan Widing : And then there is a time lag in these dynamics. When we say that things are easing up a bit, meaning we can shift from air fleet to boat, for example. It also means that actually you need more inventory on the sea for a while until the system sort of flushes out. And we also -- it's not -- some of the logistics is not related to the freight carrier, it's also in our own workshops where we have a lot of equipment that should be delivered to customers. And in some markets, Australia, as an example, there is also a shortage of workers or service people to service the equipment. So that's far out in the sales region, and those issues are not immediately fixed by, but the whole logistics chains are improving. So we are seeing the signs of improvement, but it's going to take a while for this to flush out. And step one now is to deliver as much as possible on what we have in the sales areas out to customers in Q4.
Cecilia Felton : And then we had the cash flow question. And when you look at cash flow table in the interim report, we start with profit before tax. So in noncash items, we also adjust for things like unrealized hedges, currency effects on interest-bearing liabilities, et cetera. And it's particularly the hedges where we have a bigger impact in the quarter. So it's unrealized hedge effects that impact there.
Operator: The next question comes from Max Yates from Morgan Stanley. Please go ahead.
Max Yates : Thank you. Could I just ask about the cost savings program. So you announced SEK610 million at the Capital Markets Day. Is that going to have any contribution this year? Or is that -- are those savings more for future years? And given sort of in light of some of the lead indicators, as you say, deteriorating. Is there the opportunity to maybe think about sort of pushing more of those cost savings or front loading them within the kind of guided period. So just how you're thinking about the contribution for this year? And whether you can pull any of those forward given what we're seeing?
Cecilia Felton : I mean, I can start. With savings, we expect very limited savings this year. We are initiating these activities now in the fourth quarter. So you would really start to see the savings in 2023. And these initiatives that we are announcing are sort of long-term structural strategic initiatives that are not driven by the short-term demand, so to say. So I mean, potentially, we could bring some of them forward. It's not in our current plans. I think the uncertainty around future demand that we will try to cover also by other contingency activities that are more short term -- to address the more short-term volume decline. I don't know if you want to add anything on that?
Stefan Widing : No, it's -- I agree completely. I mean we don't rule anything out if we would do what we have to do, but the strategy has been, since we came out of the COVID situation to not add back as much fixed cost as we have been growing. I mean, you can look at the graphs, we have been growing significantly. And the matter of the fact is that compared to a year ago, despite all the growth we have had, we are flat in permanent employees if we exclude what has come through with acquisitions, as we have a good productivity growth there. And we have also handled the demand situation more with more flexible cost structures, which is costing a little bit on the leverage, but it means if we're now going into a tougher times, again, we can more quickly adjust and it should not drive a lot of sort of onetime expenses as we adjust then it all depends on how this downturn will look like, of course. But that's the strategy. I'm really trying to get away from the big programs because of economical cycles as much as we can.
Max Yates : Okay. Could I just ask a quick follow-up on energy costs? And obviously, you do have some hedging around this, but I just wanted to understand whether kind of when we look at the spot markets and the kind of energy prices that are out there, are these being kind of largely reflected in your cost base already that we kind of see here and the margins that you're generating? Or when we look at kind of how you hedge, how you buy your electricity is a lot of the step-up that we've seen in the last few months, is that potentially still to come and something that needs to be offset further with pricing, just to understand what kind of energy costs or at least get a feeling for what kind of energy costs are in your P&L today in the numbers that we see.
Cecilia Felton : I can start a bit. So to put it in the context, energy costs account for 1% of total operating expenditure. And as you say, we've hedged or we do hedge quite a lot of our energy consumption. So we've hedged 75% of our consumption over two years. So we got relatively well protected for this winter. However, we will have a bigger exposure looking into next winter.
Stefan Widing : Yes, I have nothing to add to.
Max Yates: Okay. That's clear. Thank you.
Louise Tjeder : Thank you. I think we will end the questions here. We have received a few in written here and most have been covered. We'll end with one question, if you have any comment on the 2023 margins if volumes and FX would remain unchanged, how to think about the margins going forward? From [indiscernible].
Stefan Widing : Yes. I mean, we have a margin corridor target. I mean that's the best guidance we can give. Then we know that we have faced some headwinds this year in terms of cost inflation and pricing. So if everything else stays the same, I think we can be -- then we should be quite optimistic going forward.
Louise Tjeder : Thank you. Thank you, Stefan, Cecilia, and thank you all for calling in, and we wish you a good rest of the day.